Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Computer Programs & Systems Fourth Quarter and Year-End 2013 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded, Friday, January 31, 2014. I would now like to turn the conference over to Boyd Douglas, President and Chief Executive Officer. Please go ahead, sir.
J. Boyd Douglas: Thank you, Suzie. Good morning, everyone, and thank you for joining us. During this conference call, we may make statements regarding future operating plans, expectations and performance that constitute forward-looking statements made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. We caution you that any such forward-looking statements only reflect management expectations and predictions based upon currently available information and are not guarantees of future results or performance. Actual results might differ materially from those expressed or implied by such forward-looking statements as a result of known and unknown risks, uncertainties and other factors, including those described in our public releases and reports filed with the Securities and Exchange Commission, including but not limited to, our most recent annual report on Form 10-K. We also caution investors that the forward-looking information provided in this call represents our outlook only as of this date, and we undertake no obligation to update or revise any forward-looking statements to reflect events or developments after the date of this call. Joining me on the call this morning is David Dye, our Chief Financial Officer. David and I have a few minutes of prepared comments, and then we'll be happy to take your questions. In the fourth quarter, we installed our Financial and Patient Accounting System in 8 hospitals and our core clinical departmental applications at 10 facilities. Additionally, 10 hospitals implemented nursing point of care and 37 customers went live with physicians’ applications, which consist of ChartLink, CPOE and Physician Documentation. Add-on sales to existing clients were $11.9 million or 23% of total revenue for the quarter. At this time, we expect to install our Financial and Patient Accounting System in 8 facilities in the first quarter. We anticipate 12 new installations of our core clinical departmental modules, 12 nursing point of care implementations and 45 installations of physician's applications. Our most recent software release, Version 19, has now been successfully installed in over 525 sites. Version 19 is our Stage 2 certified software release, and its quick adoption by over 80% of our clients means those who have to attest for Stage 2 in 2014 are prepared to move forward with their attestation. Additionally, this version of our software provides our client hospitals with the software needed to satisfy all ICD-10 billing and reporting requirements scheduled to go effect this fall. We are proud to announce earlier this month that our Medical Practice EMR System has received ONC certification for Meaningful Use Stage 2 2014. If you saw our press release, you know that CPSI is the only vendor in the rural and community EHR sector to operate its own internally developed, fully integrated and ONC 2014 certified hospital and ambulatory products. Since many of our hospitals own or manage their provider practices, we believe our ability to offer a certified solution from the same vendor across the continuum of care is very much a competitive advantage for us. From a new development perspective, we are on track for release of our emergency department application. Alpha testing and on-site usability studies are proceeding well, and we continue to anticipate release of this application late in the first quarter. Anticipation surrounding this application within our customer base has been high, even among those who already have a third-party ED system installed. The appeal of a solution that is truly integrated with the rest of their EHR system is a major factor for these hospitals. And therefore, we believe this application will have a wide appeal and acceptance when it is generally available in the third quarter of this year. Now I'd like to update you on progress from our services subsidiary, TruBridge. During the quarter, TruBridge executed 11 new accounts receivable management contracts, 2 of which were for full services and 9 for private pay and insurance follow-up services. Both of the full services contracts were for non-CPSI EMR customers and one of the private pay contracts is with a hospital that does not utilized CPSI as their EMR vendor. On that front, we continue to be excited about the pipeline of non-CPSI EHR prospects for TruBridge AR-related services. We are well ahead of where we anticipated in this endeavor and based on our current prospects, we are looking forward to a strong 2014 in this area for our businesses. With that, I'm going to turn the call over to David for his comments.
David A. Dye: Thank you, Boyd, and good morning, everyone. I have a few prepared comments, and then we'll take questions. Our employee headcount as of December 31 was 1,390, down 30 sequentially and 53 year-over-year. We expect our total number of employees to remain around 1,400 for the duration of 2014. The accumulated unrecognized revenue related to first generation Meaningful Use contracts, as of December 31, was $2.7 million. This $2.7 million is comprised of unrecognized revenue from 3 hospitals. One facility was a startup in 2013 and will submit a full year Medicare cost report in midyear 2014 in order to be eligible to receive maximum Medicare MU funds. The second is a critical access facilities that recently submitted cost report data to their CMS intermediary prior to final Stage 1 MU payment. And the third is awaiting their year 2 Stage 1 MU payment to fund the remainder of their balance from installation that was not covered by their Year 1 Stage 1 payment. All 3 hospitals are making monthly payments and are in good standing. The recognition of this $2.7 million of revenue is included in our 2014 guidance. 5 of the 8 new clients installs we performed in the fourth quarter were generation 2 contracts and 3 were standard. Of the 8 scheduled first quarter 2014 installations, 3 are gen 2 contracts, 1 is SAAS and 4 are standard payment term contracts. Our fourth quarter cash collections were a record $56.2 million, and we expect better-than-average cash collections in the first quarter of 2014 as a result of our continued receipt of payments from hospitals recently installed under gen 2 MU contracts. As Boyd mentioned, we remain pleased with the performance of TruBridge, both within the CPSI customer base and among non-CPSI EHR facilities. In 2013, we executed a total of 12 contracts for services at non-CPSI hospitals. These services include private pay collections, full business office outsourcing, medical records coding and the placement of a revenue cycle director. We are confident TruBridge will play a significant role in CPSI's overall growth in 2014 and the years come. As stated in the earnings release, our guidance for the full year 2014 is progress revenues of $205 million to $215 million, and net income of $36 million to $38 million or $3.25 to $3.40 per share. Finally, we are thrilled to announce a 12% increase in our quarterly dividend from $0.51 to $0.56 per share. This increase reflects our continued commitment to provide consistent value to our long-term shareholders. Suzie, please open the call for questions.
Operator: [Operator Instructions] Our first question coming from the line of Ryan Daniels with William Blair.
Ryan Daniels - William Blair & Company L.L.C., Research Division: Let me start, David, with one for you. In the fourth quarter, very good profitability on the gross margin front, in particular on the system sales line. I think it's the first time we've seen it go above 50%. So can you -- I guess, two-fold question: number one, talk a little bit about what drove that up to such a high level? And then number two, I think for the full year it's about 40%, do think that's sustainable into 2014?
David A. Dye: The primary reason is the mix being -- leaning more towards add-on sales, specifically of course the physician applications that a lot of our clients are installing right now to prepare for Stage 2 Meaningful Use attestation. And of course, that will continue into 2014, certainly, into the first half of 2014. So we have no guidance around what that gross margin is going to be. But I do think, overall, it will continue to trend upward. And I will take this opportunity to make a correction while I'm speaking here. My comments were incorrect, our dividend increase was from $0.51 to $0.57 per share, and I said $0.56.
Ryan Daniels - William Blair & Company L.L.C., Research Division: Sure. Okay. And you think that -- just to get your comment there a little more clearer, margins can increase from the level in the fourth quarter or from the kind of full year levels?
David A. Dye: No. No, full year 2013. Thanks for clearing that up.
Ryan Daniels - William Blair & Company L.L.C., Research Division: Okay. Okay. That's important. And then backlog had a nice jump in nonrecurring. And I think your system sales, the way we calculate it, it looked like they had probably the biggest growth we've seen in quite some time. Is that again just more of the add-on sales as people prep for Meaningful Use Stage 2?
David A. Dye: It's -- the increase is definitely more add-on sales. The new system sales remain steady and strong but the increase is due to add-on sales, specifically again the Stage 2 Meaningful Use.
Ryan Daniels - William Blair & Company L.L.C., Research Division: Okay. And then maybe just one more on the EDIS. It sounds like that's progressing as planned, and you've got some pretty good early feedback. Is your sales force actually out actively marketing that to clients yet ahead of the full launch in the third quarter or is that just kind of resonating through marketplace? I'm just trying to get a better feel for how quickly that could ramp and maybe fill in some of the air pocket in the back half of the year.
J. Boyd Douglas: Yes. No, they are definitely out marketing that with the general availability target for the third quarter for everybody.
Operator: Our next question coming from the line of George Hill with Deutsche Bank.
George Hill - Deutsche Bank AG, Research Division: A couple of quick questions, the first one is kind of an accounting question. So the $2.7 million that you guys are looking to recognize in '14 from the contingent revenue deals, will there be any meaningful costs associated with that revenue? Or should that mostly flow through down to the bottom line?
David A. Dye: Somewhere between 85% and 90% of it should flow through to the bottom line.
George Hill - Deutsche Bank AG, Research Division: Okay. All right. That's helpful. So it looks a little bit like a onetime contribution in calendar '14, I guess, is the right way to think about that?
David A. Dye: I suppose. I mean, we certainly had some contributions from gen 1 sales in 2013 as well, but we no longer offer those payment terms. So beginning in 2015, we won't see it anymore.
George Hill - Deutsche Bank AG, Research Division: Okay. And then -- that's helpful. On kind of the details on the sales of the products during the quarter, it sounds like you guys are starting to bundle the CPOE, the Physician Documentation, the ED and the ImageLink from a reporting-it-to-us perspective. I guess what I wanted to figure out is that, are you going to continue to break out those numbers to us? And then is that part of the go-to-market strategy, too, is to bundle those products? So those the change in reporting kind of reflect the change in the sales process on your end?
J. Boyd Douglas: I've been reporting it that way for several quarters now. And really, that's a function of the people that install it. It's the same group of people, and that's how we schedule it. Certainly, it can be a bundled package if hospitals are interested in that. But with CPOE adoption where it is now, most hospitals already have that, so it's the other piece. But again, that's more from an organizational perspective. The people that install those systems is the same teams of people. And that's just how we think about it from an installation perspective, which is why I report it to you that way.
George Hill - Deutsche Bank AG, Research Division: Okay. And then -- that's helpful, too. And then just kind of one last kind of housekeeping item. Can you update us with the -- kind of what the core clinicals penetration is on the core financials customer base?
David A. Dye: Yes, I don't have it in front of me but is around 90%.
Operator: Our next question coming from the line of Jamie Stockton with Wells Fargo.
Jamie Stockton - Wells Fargo Securities, LLC, Research Division: I guess maybe the first one, David, on gross margin, which is obviously a pretty, pretty big focus. Is there any change that we should be thinking about in the way that you guys are doing some of the training around implementing some of these solutions that would cause stuff like travel to be a lower percentage of cost going forward? Maybe not just the near-term impact, but a permanent impact?
David A. Dye: Absolutely not. As we have been for 3 decades now, we are committed to our approach of utilizing our own team of employees to do the training on-site regardless of the travel cost, and we remain committed to that. This goes back to our decision in 2009 to hire several hundred people so that we would be ready for this in 2014. So we remain committed -- even during this -- what's going to be a reasonably tight time frame with everybody trying to get ready for Stage 2 Meaningful Use, I mean, we're for it. Certainly it's -- it will occasionally put some stress on our folks from a travel standpoint to be able to accomplish all that we are going to need to accomplish around Stage 2, but we're prepared for it. And so that is not what -- reasons for improvement. Certainly, it is, generally speaking, less intensive as a percentage of system sales revenue for add-on sales as it is for new system sales, but that's always been the case.
Jamie Stockton - Wells Fargo Securities, LLC, Research Division: Okay. That's great. And then just on your comment about it, it being pretty tight as far as all the activity that's going on with, say, ahead of the July deadlines for Stage 1 and Stage 2, you're seeing a pretty good uptick in the number of physician solutions that you're implementing in the March quarter, but it also seems like there are still a lot of hospitals that need to get Phys Doc in that attested in 2011 or 2012 ahead of the July deadline. I mean are -- I guess, are we looking at -- and I know you guys aren't looking to give second quarter guidance here, but are we looking at a situation where activity is probably going to be more intense in the second quarter than is in the first quarter just because of all the Phys Doc and maybe, secondarily, CPOE activity that is going to be going on?
David A. Dye: Yes, you're right, we're not going to give second quarter guidance. And I appreciate the fact that you're not asking us to. But we have, I think, stated publicly that the last couple of years that -- I believe it was 2 years ago, in particular, that the second quarter was very intense. We don't know exactly to what level that will be the case again this year, but certainly it's trending similarly for the reason that you stated in the question. Pardon me?
Jamie Stockton - Wells Fargo Securities, LLC, Research Division: What is the capacity relative to that 45 number that you guys could do, at the max, that you think in the second quarter?
J. Boyd Douglas: That's kind of a difficult question. 45, certainly, isn't the max, but it's nearing it. And again, that kind of speaks to what David said earlier as far as -- it's how much we want to really travel our people. We've got people to do it, it's just a matter of how much they can be on the road. So that can fluctuate as well, and that kind of speaks back to my earlier question of the same people that install the ED will install the Phys Doc in CPOE's, the people that are familiar with the physician. So we do have some for flexibility there. But more directly to your question, that number is the 45 from 38 or whatever it historically was. And I think you'll see that trend continue throughout 2014 just because of the numbers and the number of people that we have to meet Meaningful Use Stage 2.
Jamie Stockton - Wells Fargo Securities, LLC, Research Division: Okay. My last question, David, cash flow. Very back-half weighted in 2013. It seems like you guys are seeing a little bit of an uptick in the mix of standard deals that you're now starting to sign versus gen 2. Should we be thinking about 2014 still being a very back-half weighted year from a cash flow standpoint or...
David A. Dye: I don't think it will be too -- I think, traditionally, we were sort of back-half weighted a little bit, anyway. Certainly, not to the extent that we have been in the last 2 years. I think it will be less back-half weighted this year than it has been the last 2, because of the reasons that you mentioned.
Operator: Our next question coming from the line of Sean Wieland with Piper Jaffray.
Sean W. Wieland - Piper Jaffray Companies, Research Division: So what is it -- what's the thoughts on the timing for the ED and the EHR applications going into general release?
J. Boyd Douglas: Right now, like I said in my comments, that's -- we've got it in alpha testing now, be entering beta testing soon. And we really expect to have a full slate of ED installing certainly by -- we're hopeful that it will be May, certainly June. My comments around the third quarter was that would be the first time we'll have a full quarter with full ED installations with the full schedule. So like I said, we're -- like I said in my comments, we're pleased with it. It's going well. We're obviously still tweaking some things while we're in alpha testing. And again, conservatively, certainly, starting with July 1, we should be full board [ph] if not before then.
Sean W. Wieland - Piper Jaffray Companies, Research Division: For both products?
J. Boyd Douglas: That's correct.
Sean W. Wieland - Piper Jaffray Companies, Research Division: Okay. All right. And then I want to go back to this gen 1 revenue moving into 2014. As recently as December, you guys had been talking about this still coming in, that revenue all still coming in the December quarter. In my view, it's no big deal that it moved to 2014. My question is though, you set a plan for the fourth quarter assuming that, that revenue would come in, you gave guidance based on that. You still came in at the upper end of the guidance, despite that highly profitable revenue slipping into 2014. So my question is, is what changed in your business relative to your initial guidance to allow you to really outperform on the margins lines and still hit the upper end of your guidance even without that gen 1 revenue?
David A. Dye: Yes, and of course -- I know you know this, but we gave the guidance in January. We didn't update any guidance at any point later in the year, certainly, not again at the beginning of the fourth quarter. So I'll point to 2 things: Add-on sales being at the strong -- at the top end or maybe even a little bit above what we thought they might be when we originally gave the guidance at the beginning of 2013; and then good cost control, would primarily be the 2 things I'd point to.
J. Boyd Douglas: I'm sorry just kind of saying the same thing, I think it's just the utilization of our resources. And kind of going back to David's comments earlier, we hired these extra employees back in 2009 and we're just fortunate that the sales are supporting the levels of staffing that we have and we're just utilizing our resources better than we thought we would.
Sean W. Wieland - Piper Jaffray Companies, Research Division: All right. Super. And squeeze one more quick one in. Are you seeing any new market entrants into the revenue cycle business for that under 100-bed market?
David A. Dye: Not yet. We expect to at some point, but not yet.
Operator: Our next question coming from the line of Bret Jones with Oppenheimer.
Bret D. Jones - Oppenheimer & Co. Inc., Research Division: Just wanted to hit the margin profile again, especially as it relates to the guidance. And then I just was hoping, David, you could help us understand where the leverage is coming from. Because if I look at -- is this a mix shift going on? Because if I look at the gross margin, the Meaningful Use gen 1 deals are going to contribute less, it looks like about and $0.08 headwind to EPS. Obviously, there's going to be a drag in the systems margin on there. Where are you making that up from?
David A. Dye: Well, we got -- of course, we're expecting that the support and maintenance will continue to grow. We'll retain our customers, they continue to buy applications and the support and maintenance will continue to increase as a result of that. Again, heavy on add-on business, but we've got new business coming in as well. Certainly, we expect TruBridge to continue to grow, which is recurring revenue and it's profitable, and we're maintaining our headcount. I think it's as simple as that.
Bret D. Jones - Oppenheimer & Co. Inc., Research Division: Okay. And then just in terms of the add-on sales and just trying to help me understand exactly where the incremental margin benefit comes from. I can understand maybe less implementation time, but where those bodies go? You have these people that are hired, so if you require less implementation time, is that where we're seeing the 30 headcount reduction hitting in the system's sales margin?
David A. Dye: I'm not sure I understand the question.
Bret D. Jones - Oppenheimer & Co. Inc., Research Division: Well, I mean, you have, let's say, you have 100-people staff to do implementations and you get add-on sales instead of new implementations, it takes less time. In theory, there would be extra margin, if you didn't need those people. But you're not letting those people go, right?
David A. Dye: Absolutely not. They're traveling less, which is obviously very expensive, if you saw our bill with Delta Airlines every month. So I think that's a good piece of it. And has been the case now for a long time, generally speaking, add-on sales are more profitable than new system sales anyway.
Bret D. Jones - Oppenheimer & Co. Inc., Research Division: Okay. And then just lastly, I just wanted to hit on the finance and receivable tick down. It sounded like you were talking earlier to an earlier question, talking about getting more standard financing terms where they're paying upfront, I guess. And I think you talked about 4 in this next quarter. Is that something you expect to continue or -- I mean, when I think of the remaining hospitals out there, I tend to think they'd be smaller hospitals, less well funded and more likely to opt for the financing terms.
David A. Dye: I don't know if I -- the ratio that we have here that we're -- for the installs in the first quarter where half of them are standard terms, of course, this is just speculation on my part. But in an attempt to answer as your question, I would think that, that will be about the percentage on average going forward over any meaningful period of time, just sort of based on the prospects that are out there right now and how they're looking to do this. That remains to be seen. With Stage 1 Meaningful Use, I don't want to stay behind us, but it's getting there. That offered the best opportunity from a reimbursement standpoint for a hospital to be able to buy the whole system with their Meaningful Use funds. So I would guess, again, that it's going to be about half standard and half either some combination of SAAS or in some way related to Stage 2 Meaningful Use payments going forward, at least for the next year or so.
Operator: Our next question coming from the line of Mohan Naidu with Stephens.
Mohan A. Naidu - Stephens Inc., Research Division: A couple of questions. On this delay in Stage 2, can you talk to us about how is that impacting you? Obviously, your customers seem to be continuing to upgrade in respect of what the deadline is. What is driving that? Is the ICD-10, which is part of the Version 19 that is driving -- at least pulling up the upgrade process earlier?
J. Boyd Douglas: That was -- and we've talked about this on the last several calls. There is a number of hospitals out there that the solution that they got Stage 1 with is not a good fit for them, whether it was hard to implement or they're worried about Stage 2, or as you pointed out, ICD-10 is certainly driving some of that. And there's a lot of factors that are driving these hospitals to the market. We consistently said way back to -- when Stage 1 was being adopted, a lot of these hospitals were taking the less expensive route of bolting on and now the -- as we say, the proof's in the pudding, that they're really realizing that that's not a good long-term solution for their hospital to have best-of-breed-type setup in their hospitals. So that's driving it. ICD-10 is driving it, a little bit of everything.
Mohan A. Naidu - Stephens Inc., Research Division: Okay. And on the replacement customers who are coming in, they cannot use gen 2 financing, can they? Because they're all -- probably already used up the Stage 1 stimulus funds already.
David A. Dye: Of course, they still have money available with year 2 Stage 1 and year 1 Stage 2 and so forth. I mean, the numbers, generally speaking, for -- that they receive from Medicare from CMS for those payments are less, typically, about half of what they got with their year 1 payments. So there is some possibilities that all, or in some cases, part of the system can be based on the receipt of MU payments. How that occurs going forward remains to be seen. And another point to your -- or first question, the way we're looking at this, Stage 2 wasn't delayed in terms of the deadline for hospitals attesting for Stage 2. It was delayed on the back end of the year. The way we view it, Stage 3 was delayed. So in terms of our hospitals' requirements, those that attested Stage 1 in '11 and '12, still have to attest Stage 2 in 2014. And those that did it '13 are going to have to do it in '15, that hasn't changed.
Mohan A. Naidu - Stephens Inc., Research Division: Yes. Okay. Last question, do you have a number in mind on the number of installs you guys are targeting, new installs for 2014?
David A. Dye: Yes. This is loose when coming up with the guidance budget for 2014, but around 28.
Operator: Our next question coming from the line of Donald Hooker from KeyBanc.
Donald Hooker - KeyBanc Capital Markets Inc., Research Division: Just wanted to follow up on that last comment. You mentioned you're looking at, I think you said 28 core installs in '14. So in your thinking there, is that coming from other competitors, I assume? Is that fair?
David A. Dye: Definitely, more than half, yes.
Donald Hooker - KeyBanc Capital Markets Inc., Research Division: Yes. Yes, I would assume that, just to be clear. And then in terms of a more mundane question, since a lot of questions have been asked, the G&A line, obviously, has been coming down through the years, as I think you've talked about it earlier. Some of the insurance costs have come down. Are we sort of at a normal level now here in the fourth quarter sort of as we think about your 2014 P&L?
David A. Dye: Yes. We certainly hope so. As we've stated before, we're self-insured, that can vary. We do have deductibles to meet at the beginning of the year that we don't have in the back half of the year. We certainly are not expecting what occurred in the first -- fourth -- first quarter of last year to happen again in the first quarter of this year. That was an all-time anomaly in the history of our 2 decades of being self-insured, so that remains to be seen. But yes, to answer your question.
Donald Hooker - KeyBanc Capital Markets Inc., Research Division: Yes. And I guess -- one last -- I'll ask one last one. Somebody earlier asked about new entrants in revenue cycle management. Kind of going back to your core installs next year, last quarter I think you mentioned some new vendors coming into your -- into the small hospital space and some larger vendors. Is that still the case or not so, like maybe larger public companies?
David A. Dye: Yes. We specifically mention Cerner on the last call and they're still around. We didn't notice an increase in that in the last quarter, so that remains to be seen. But no, it's still the same folks we've been knocking heads with now for quite a while.
Donald Hooker - KeyBanc Capital Markets Inc., Research Division: Okay. That fair. Actually, let me squeeze one last one. Deferred revenue is also, it's just -- and I just want to understand that because that's obviously been increasing like pretty much every quarter for a couple of years and dipped a little bit. How should we think about that?
David A. Dye: If the mix of new contracts heads back toward standard contracts, that should trend down a little bit. Because with the gen 2 contracts, of course, we defer some of the support maintenance revenue. So if that mix continues to come down, that should come down a little bit.
Operator: Our next question coming from the line of Richard Close with Avondale Partners.
Richard C. Close - Avondale Partners, LLC, Research Division: Just not to beat this gross margin on the system sales. But under -- I'm just curious whether certain products that are add-on sales maybe have, I guess, higher margins than other products. Just because the 23% level for add-on sales, I don't think is really that abnormal versus in past years or the last 2 years. So just trying to understand, really, what that gross -- what is juicing the gross margin?
David A. Dye: Well, the Physician Applications do have a better gross margin as opposed to certainly nursing Point of Care and the clinical departmental modules. And as those become close to -- as those being Point of Care and clinical become close to 100% penetrated and if system sales level stays the same, they're made up of more of the physician applications, then that contributes to the benefit there. There's less hardware, of course. Nursing Point of Care is a little bit more hardware-intensive with all the mobile devices.
Richard C. Close - Avondale Partners, LLC, Research Division: Okay. Well, that helps, definitely. And then with respect to TruBridge, if you can just go over that a little bit. I wasn't sure if you said the 2 full contracts, service contracts that you signed in the quarter, were those both non-CPSI hospitals? Is that correct?
J. Boyd Douglas: Yes. That's correct. And then one of the private pays.
Richard C. Close - Avondale Partners, LLC, Research Division: Okay. And then can you talk a little bit about the TruBridge margin or the outsourcing margin? It seemed to tick down in -- from year-over-year and the third quarter. Anything happening on that front?
David A. Dye: We're investing in the business. We like the way it looks, specifically in the non-CPSI hospitals, which we both mentioned on the call, we're sort of pleased where that stands. So we're -- we feel like we're going to have success there long term, so primarily, that's investing in the business, looking ahead.
Richard C. Close - Avondale Partners, LLC, Research Division: And should that continue based on the longer-term outlook or...
David A. Dye: No. In other words, I think the gross margin should, for a full year, going forward, this is rough but get back to around the 40% range.
Operator: Our next question coming from the line of Steve Halper with FBR.
Steven P. Halper - FBR Capital Markets & Co., Research Division: Relative to the $2.7 million that you expect to recognize in 2014, is there anything that we need to know about the cadence of that recognition relative to the quarters? Not asking for quarterly guidance, but is it first half weighted? Is it second half weighted? Or you don't know at this point?
David A. Dye: Well, I've been wrong for the last year, so I'll just say some time during 2014. When I said I have been wrong, I'm talking about with regard to gen 1 contract revenue recognition. We fully expect it in 2014. I understand the question, but I can't provide any specific guidance as to when it will hit.
Operator: Our next question coming from the line of Leo Carpio with HM Global.
Leo F. Carpio - HM Global Capital LLC, Research Division: Just a quick question. In terms of the competitive environment, are you seeing any changes in terms of new entrants or not? Especially -- and the reason I asked this is because since your guidance for 2014 indicates that you're going to be making some competitive inroads, I just kind of think it's a little more important. And then the second question is, looking at your bookings and looking at guidance, it sounds like that the whole changes in the MU deadlines and the pushing of Stage 3 hasn't impacted your sales activity. And with that also, the critical access hospital markets you've talked about in the past, have they started to ramp at by [ph] systems? Or are they still on a waiting mode?
J. Boyd Douglas: Well, so you've got 3 questions there, and we'll try to answer them in order. One, we haven't seen any new entrants to the market at all other than what we've talked about previously. Second -- well, what's your second question? You had too many there.
Leo F. Carpio - HM Global Capital LLC, Research Division: Yes. The second question was regarding the competitive environment. Have you seen any new entrants this year? And how do you see yourself versus the competitive landscape into 2014 in terms of your ability to gain share from competitors?
J. Boyd Douglas: We spoke to that a little bit earlier. Certainly, there's hospitals out there, a number of hospitals that aren't satisfied with their solution and obviously, at this point, they're all one of our competitors, whether it's a top tier competitor, 1 of the big 4 or some of the entrants to the market, that entered the market 2 or 3 years ago when the Meaningful Use came along. Clearly, there's a number of hospitals that are not satisfied with their current solutions. So we're certainly making some inroads there.
Leo F. Carpio - HM Global Capital LLC, Research Division: And then in terms of the critical access hospital market, have you seen activity there? I think, I recall in the past there were comments that because their timeline or incentives was different, they could wait a little bit longer before they began to ramp?
J. Boyd Douglas: Yes. That is true. I don't know that we've seen any more. I would classify that as steady. I don't know that -- it's certainly been a significant change either way, but it's been consistent.
Leo F. Carpio - HM Global Capital LLC, Research Division: And then just was one add-on, in terms of -- the other question is -- yes, in terms of the market -- and so the staffing, again. And the question was, I think, that I asked before, in terms of staffing, do you think you're able to meet any surgeon demand should it come in 2014 pretty relative to the staff you have on hand?
J. Boyd Douglas: Absolutely.
Operator: Our next question coming from the line of David Larsen with Leerink.
David Larsen - Leerink Swann LLC, Research Division: Can you talk about the ED module? Have you disclosed what the pricing is for that? And any sense for the number of units you expect to actually install in 2014?
J. Boyd Douglas: We haven't -- as far as the number of units to install, we really haven't gotten there. That's somewhat going to be dependent, as I mentioned earlier on this call, the resources that we've got to do that are also doing Phys Doc and the new EMP, EMR and CPOE. So that will somewhat depend on the demand for those as well. In ASP for ED, we're expecting something in the 125 range.
David Larsen - Leerink Swann LLC, Research Division: Okay. Are there any components of Stage 2 or 3 that might require or perhaps encourage the deployment of the ED module? So like do you expect demand to be pretty high?
J. Boyd Douglas: There's nothing specifically in the requirements. Certainly, we feel having a fully integrated system and ED being part of that will help you comply with some of requirements, but I don't -- I think it will be hard to classify it as you've actually got to have an ED system from CPSI in order to meet the requirements. I do think your hospitals are going to run more efficiently, you're going to give better care to your patients. And the information, it's going to be more readily available if you've got the CPSI ED. I think we've said before, we feel like over the next several years, if we can get 50% penetration, then ED will have been a success.
David Larsen - Leerink Swann LLC, Research Division: Okay, Great. And then in terms of the rewrite of the EMR code, I mean you've deployed Version 19. Are you -- I mean, are you going to rewrite some of the code for the EMR within Version 19? Or will there be a Version 20? And then is there an incremental revenue opportunity with that new code?
J. Boyd Douglas: First of all, there is no incremental opportunity. And the majority of the rewrite is on 19. And that really just -- to clear the air, that rewrite is specifically the ambulatory piece of it.
David Larsen - Leerink Swann LLC, Research Division: Okay. Okay, the doc piece. Okay.
J. Boyd Douglas: Correct.
David Larsen - Leerink Swann LLC, Research Division: Great. And then, Dave, did I hear you correctly the gross margin for '14 should be in the 40% range?
David A. Dye: I was talking about TruBridge.
Operator: Our next question coming from the line of Gene Mannheimer with B. Riley.
Eugene M. Mannheimer - B. Riley Caris, Research Division: Question one just really relates to the prior question on the ED systems. How much of that -- how much of the emergency department module is built into your backlog currently? It appears that your system sales backlog as a percent of total is higher than a year ago, and I'm just trying to discern how much of that is physician apps versus ED versus some of your other products.
J. Boyd Douglas: Well, a lot of it is physician apps. The contribution from ED at this point is negligible.
Eugene M. Mannheimer - B. Riley Caris, Research Division: Okay. Good. And then with respect to your outlook for 2014, very strong, obviously, notably on the profitability side. Are you seeing your customers' ICD challenges as a headwind to you or potentially something that you can benefit from going forward? I know that your new v19 is ICD-10 ready, so do you see any impact from there some of their education and transition in your business?
David A. Dye: I'd say it's neutral to a slight tailwind, especially from a tailwind perspective with TruBridge. And it will help us a bit with some ICD-10-readiness engagement contracts and then with some medical records coding contracts, as well. We expect, and we've already seen a little bit of that. Also, traditionally, when there's been a change of this magnitude in the regulatory environment just on the pure software side, it has benefited us because we've only got 1 system, 1 version of the system. It's completely integrated. We've written all the code ourselves, so it's easier for us to adapt to something like ICD-10 than it is to some vendors that are more acquisitive, investor-breed oriented. So hopefully, that will be the case again this time.
Operator: And our last question is a follow-up question coming from the line of Jamie Stockton with Wells Fargo.
Jamie Stockton - Wells Fargo Securities, LLC, Research Division: David, real quick. Tax rate for '14, are we looking at 35% or 36%?
David A. Dye: Well, they haven't renewed the R&D tax credit yet. So if they do, we're looking at probably low 36%, if they don't, low 37%.
Operator: And we do have another question from Frank Sparacino with First Analysis.
Frank Sparacino - First Analysis Securities Corporation, Research Division: Real quick, Boyd, David. As you look to 2014 on TruBridge, are there any new services you plan to rollout as part of that? And then secondly, is there any change in terms of your thinking about the market size and opportunity there? I would assume that the 12 kind of non-CPSI customers that we have this year will grow materially next year, but any thoughts there will be helpful.
David A. Dye: We do expect it to grow for the full year 2014. I have no specific numbers that I want to give out. In terms of new service offerings with TruBridge, yes, we're always looking at new stuff, as you can tell from all the new stuff that we've been rolling out over the course of the last couple of years, and we continue to do so. There will be some new offerings that we'll roll out 2014. I would say none that we expect at this point to be significant contributors to revenue in 2014. And I don't want to specifically mention anything right now, but just some things that we think will help incrementally.
Operator: Mr. Douglas, there are no further questions at this time. I will now turn the call back to you.
J. Boyd Douglas: Great. Thank you, Suzie. Appreciate everyone's time this morning. Appreciate your interest in CPSI. And I hope everyone has a great weekend.
Operator: Ladies and gentlemen, that does conclude the conference for today. We thank you for your participation and ask that you please disconnect your lines. Have a great day.